Operator: Good morning, everyone. Thank you for your participation in today’s conference call to discuss Command Center’s Financial Results for the Fourth Quarter and Full Year Ended December 30, 2016. Joining us on today's call is Command Center’s CEO, Bubba Sandford; and CFO, Colette Pieper. Please be aware that some of the comments made during our call may include forward-looking statements within the meaning of the federal securities laws. Statements about our beliefs and expectations containing words such as may, could, would, will, should, believe, expect, anticipate and similar expressions constitute forward-looking statements. These statements involve risks and uncertainties regarding our operations and future results that could cause Command Center’s results to differ materially from management’s current expectations. We encourage you to review the Safe Harbor statements and risk factors contained in our earnings release and in our filings with the Securities and Exchange Commission, including without limitation, our Annual Report on Form 10-K and our other periodic reports, which identify specific risks that also may cause actual results or events to differ materially from those described in forward-looking statements. Copies of our most recent reports on Form 10-K, and 10-Q may be obtained at our Web site, www.commandonline.com or at the SEC Web site, www.sec.gov. We do not undertake to publicly update or revise any forward-looking statements after the date of this conference call. We also note that on this call we will be discussing non-GAAP financial information. We are providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to our reported GAAP results in the reconciliation table provided in our earning release. I would like to remind everyone that this call is available for replay through April 25th starting at 1:00 PM Eastern today. A link to a webcast replay of this call will be provided in the earnings release, which is also available on the Company’s Web site at www.commandonline.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of Command Center is strictly prohibited. Now, I’d like to turn our call over to CEO of Command Center, Bubba Sandford. Bubba?
Bubba Sandford: Thank you, Evan. Good morning everyone. I want to thank everyone for your participation in this call and your interest in Command Center. I’d like to start off by briefly discussing our operations and our financial performance. As we discussed previously, management was not satisfied with the results that we generated in the first half of the year, so we committed ourselves and to our shareholders that we were going to dedicate the resources to remedy this situation. I'm pleased to announce that following Q3, we’ve continued to improve our financial and operational situation. In fact, Q4 revenue was up 19% year-over-year and gross margin expanded 30 basis points. This is largely due to a wide ranging plan we implemented, starting in Q3, but mainly due to a number of factors; one, being that we created and started a comprehensive training program at corporate in Denver and one of the benefits of relocating here, in addition to cutting any extraneous cost or any costs associated with items that were no longer in play here; realigning the organization to maximize our strength and minimize our weaknesses; looking and growing and putting a focused effort on our national accounts and auto auction business; and lastly, probably one of the most key elements of our business was an improvement on our coaching, training, developing, and holding accountable our branches to certain performance metrics. As expected, our North Dakota sales declined. But as we previously stated and since my arrival in 2013, it's been our objective to grow beyond North Dakota, both in stores and revenue. And as a result of that growth that we’ve experienced, North Dakota revenue now comprises less than 11% of our overall business. As we continue with our plan that we’ve shown with results, the effects of North Dakota and anything in the energy industry have a lesser impact on our overall Company. Before going into further details of our performance, I’d like to turn the call over to our CFO, Colette Pieper to discuss our financial.
Colette Pieper: Thank you, Bubba, and good morning everyone. Focus of my commentary will be on our fourth quarter results and analysis of our full year results, which presented in yesterday’s earnings release. But before I begin, I would like to emphasize that as a public Company we are committed to timely filing of our annual and quarterly reports with the SEC. As a new CFO with the new controller, we have taken great strides in improving our financial record keeping and believe we are in a position to meeting our deadlines in the future. Our revenue in the fourth quarter increased 19% to $26.1 million compared to the fourth quarter last year. Please recall the fourth quarter of 2016 benefited from an extra week when compared to 2015 or approximately $1.4 million of incremental revenue. The increase is also driven by higher revenue from our stores outside of North Dakota and contributions from Hancock Staffing, which we acquired in June 2016. Excluding the acquisition, as well as the North Dakota operations, total remaining store revenue increased 16% to $21.3 million. As Bubba stated earlier, it’s worth noting that North Dakota represented about 11% of our overall revenues, down considerably from approximately 25% during the peak of the oil boom in 2014, and the 16% that we represented in the fourth quarter last year. Our gross margin in the fourth quarter increased 30 basis points to 25.7% compared to 25.4% in the same period last year. The increase was primarily due to greater emphasis during the second half of the year on increasing margins and obtaining higher margin growth across the Company, which resulted in a favorable mix of higher margin revenue. Our selling, general, and administrative expenses in the fourth quarter increased to $6 million compared to $5.3 million in the year ago quarter. The increase was driven by expenses associated with our increased revenue, particularly increases in salaries and related payroll tax expenses, offset by decreases in bad debt expense, stock compensation expense, insurance expense, and contract labor. Net income in the fourth quarter increased to $181,000 compared to $126,000 last year due to the increase in revenue and gross margin. EBITDA and adjusted EBITDA as we define it in the fourth quarter was $0.7 million compared to 0.5 million in the year ago quarter. Cash and restricted cash at December 30, 2016 was $3 million compared to $7.6 million at December 25, 2015. The decline was due in part to the acquisition of Hancock Staffing and our share repurchase initiatives. During 2016, we repurchased approximately 3.8 million shares of common stock at an average price of $0.40 per share, approximately $2.1 million remain under the $5 million repurchase plan. During the fourth quarter, we repurchased 418,000 shares of stock at an average price of $0.36 per share. At the end of the fourth quarter, we temporarily suspended our repurchase plan in order to rebuild our cash balance. However, we remain committed to the repurchase plan and expect to be opportunistic in acquiring our own stock when we believe it's the best use of our capital. Finally, we ended the year debt free compared to $0.5 million in debt at the end of 2015. And with that, I'll the turn call back over to Bubba. Bubba?
Bubba Sandford: Thanks Colette. I’d like to return now to talk about our primary operational highlights in the quarter and the full year, as well as the outlook for 2017. I’d like to also point out that since our last talk, a lot has transpired. We committed on the Q3 call to a plan to remedy and reverse the trend and we’ve been dedicated to that, and the results of those efforts are showing. We are happy with our improvement. We know we can do better finishing the year as we did was the significant, we think achievement given our slow start. So, we know our plan will work, it’s working and we’ll continue on this. On our previous call, we also talked about our key success, which we talk about regularly and this is essential to our success in our business. With the renewed interest and focus on this for our branches, these drove some of the results for our Q4 ending with double-digit revenue, expansion in the gross margin, and improvement in net income. Again, a lot of this was derived from the plan we put in place, which was the training program for our branch managers, cutting any extraneous costs and realigning the organization, looking in to grow our national account and auto auction business, and an improvement in our field services and our coaching, training, development, and holding the branches accountable to metrics. Specifically for the fourth quarter, our revenue growth was attributable to three initiatives, a subset of that overall comprehensive training program we have for the branches is a sales training program. This comprises approximately 30% of the overall training program. We’ve now had six classes come through here in Denver with approximately 59 personnel receiving the training. Next, we place the high emphasis on growing our national accounts and auto auction business as we see an opportunity there, and we have a team and the ability to execute, and we’ll continue to do that. Last again is our significant improvement in the personnel and who and how we go about coaching, training, and developing and holding accountable the branches. We’ve made significant strides, and that’s a key element for our business. During the year, we opened seven new stores, bringing our total store for the year to 64. We will continue to evaluate our capital allocation in this manner; looking to open stores in areas where we have concentration with pre-existing brand recognition, be able to have greater geographic coverage in that area to maximize the economies of scale; the field personnel and anyone else travelling there, as well as looking to open stores, possibly in new geographic areas that pose potential for us. Likewise, in terms of our capital allocation, we’ll continue to evaluate strategic acquisitions similar to Hancock, which contributed $1.9 million to our Q4 revenue. That acquisition is proving financially successful for us. It added revenue to our business without us adding any infrastructure, making a highly accretive. And we’ll continue to look for strategic acquisitions in a similar manner. One of the items we mentioned in our plan to remedy the store results in the first half of the year was cutting any extraneous cost or currently associated with items that were no long necessary with the transition to Denver or other strategic opportunities we were looking at. As a result, we’ve improved our balance sheet and our cash position has improved. Going forward we know our plan that’s work, we will continue on this plan, we’ve made improvements, but we know we can do better. And we are committed to doing better. We’ll continue to improve the financial and operational performance of the Company with a relentless focus on reducing SG&A and any costs that are not necessary for the Company. We’ll continue to deploy our capital in the most cost efficient manner, looking at either new store strategic acquisitions, different verticals, always with the objective in mind of maximizing shareholder value. With that, that concludes the presentation portion of this call. I’ll turn it back over to our operator.
Operator: Thank you [Operator Instructions]. And we will take our first question from John Rolfe from Argand Capital. Please go ahead.
John Rolfe: Couple of clarifications; first, did you say that excluding Hancock and North Dakota that the same store sales were up 16% or I guess that would include new locations as well. So what was the same-store sales and how much was from locations of opened during 4Q?
Bubba Sandford: We include the new stores into the same-stores calculation.
John Rolfe: And that number was up 16%, is that correct?
Colette Pieper: Yes, that is correct.
John Rolfe: And what was the decline in the back-end locations for the quarter?
Colette Pieper: The decline was $700,000.
John Rolfe: Okay, which would -- what would that represent on the base from a year ago?
Colette Pieper: Decline of 19.7%.
John Rolfe: And my last question, it looked like in the press release, the verbiage was that for the year your EBITDA and adjusted EBITDA were both $2.1 million. So can you reconcile that for me, I didn’t see any reconciliation in the press release itself. But I think you had 150,000 of share based comp expense, which I would have thought would have driven the difference between EBITDA and adjusted EBITDA. Was there some sort of offset?
Colette Pieper: Yes, I can comment on that. Yes. As the Company defines EBITDA, we do exclude non-cash compensation, that’s how we presented in our 10-K disclosure. But if you wanted the more traditional EBITDA for the year, it would have been $1.9 million compared to $2.8 million a year ago. And for the quarter, it was the same number, 700,000 compared to 300,000 for the quarter a year ago.
John Rolfe: So then what’s the -- if you define EBITDA as excluding share-based comp, then what’s the difference between EBITDA and adjusted EBITDA of share based comps, excluded for both -- is it other non-recurring expenses?
Colette Pieper: Well, the traditional EBITDA of course excludes interest expense, depreciation, and amortization, provision for income taxes, and then the Company chooses to also exclude non-cash compensation. But the reconciliation that I just gave you, we do have the non-cash compensation not included in a more traditional EBITDA and then our version of adjusted EBITDA excludes non-cash compensation.
John Rolfe: Okay…
Colette Pieper: But that’s the only difference…
John Rolfe: I’m confused. So, your definition of EBITDA excludes non-cash comp or includes non-cash comp?
Colette Pieper: It excludes.
John Rolfe: As does adjusted EBITDA, correct?
Colette Pieper: That is correct. That’s the way the Company has defined it, and that’s…
John Rolfe: So my question is what’s the difference between EBITDA and adjusted EBITDA if they both exclude non-cash comp?
Colette Pieper: There is no difference the way the Company looked at it. But again as I was just saying, EBITDA in the more traditional sense as other companies define it was just excluding interest, depreciation, and taxes for the year 2016 would have been $1.9 million and for 2015 would have been $2.8 million, and the difference is our non-cash compensation.
Operator: Our next question comes from Mike Donnelly of GVC Capital. Please go ahead.
Mike Donnelly: My question was in regards to adjusted EBITDA and EBITDA, which you just discussed. I think there is a mistake in the press release because both EBITDA and adjusted EBITDA are part of the same. So I think you explained the difference, but I think there was a mistake in your press release. So that’s my question.
Colette Pieper: Well, again as I explained, we commence and define EBITDA to exclude non-cash compensation. And so, the explanation that I just gave you is comparing it to the traditional sense. So our definition of EBITDA exclude non-cash compensation and that is the way the Company has presented it in the past, but we will make sure that we are more clearly definitive in the future.
Operator: And our next question comes from Josh Horowitz of Palm Global Bank. Please go ahead.
Josh Horowitz: I still have not received my proxy statement for the May Shareholder Meeting. Is the Company still having the Shareholder Meeting in May as you previously announced. And if so, when is the Company mailing the proxy out?
Bubba Sandford: We announced that we may have a proxy -- I mean a Board Meeting in May. But we have not defined or determined the actual date, but it will not be May.
Josh Horowitz: Is there a reason that that has been pushed back?
Bubba Sandford: Our focus at this Company is the operational performance of the Company. That was objective we put, but we'll have the Annual Shareholders Meeting later in the year.
Josh Horowitz: The focus of every company is to be operational performance of the company, yet companies also should have Shareholder Meeting, anyway moving on. Obviously, you’ve revised your 2015 results, if I look at last year's full year release from this time, net income was listed at $1.7 million and the release that you published last night, net income is $1.5 million. Operating income was $2.9 million in the last year's release, its $2.6 million today. So, I guess where did the $300,000 go? I don’t think I've ever in my investing carrier seen a company revise its prior year earnings without even the courtesy of an explanation or reconciliation of that difference to the shareholders.
Colette Pieper: Yes, I'll answer that. So during the fourth quarter of 2016, we identified certain immaterial amounts of certain of cost of sales and doing administrative expenses were misstated at December 25, 2015. And so as a result, the cost of sales and general and administrative expenses were under occurred by $257,000, which was $155,000 net of income tax benefit at the end of the prior year December 25, 2015. And these adjustments were 10% or less than net income before income taxes and net income after tax last year in 2015. But the misstatements would have been material to the 2015 financial statements, so we did revised the 2015 financial statements for comparative purposes. And we do have an explanation and a reconciliation table in the 10-K that explains the differences and the before and after numbers.
Josh Horowitz: I'll have to look at that. Thank you for that. I mean I guess that you can hear it on the call. There are no Command Center shareholders that are absolutely drafted with the dreadful performance of the Company, and continuously collapsing stock price. We’ve had a soaring stock market, the lowest unemployment numbers in the generation and this has just been a horrible experience for everybody. To add to it, I mean even your explanation of EBITDA and adjusted EBITDA, I mean even that doesn’t make any sense it's just an installed think and careless discrimination of your financial information. And I think it's indicative of an object lack of oversight and candor. The only way to arrest this making operation is for shareholders to exercise their rights and to seek dramatic Board change. I think I speak for a lot of folks.
Bubba Sandford: Okay. Thank you, Josh.
Operator: And our next question comes from Hans van der Burg of Logos IM. Please go ahead.
Hans van der: I have a question about, especially you’ve noted that the operations, which [indiscernible] I remember that 11% of revenue came from [Minnesota]. I just want to clarify whether the 11% is Q4 or 11% of 2016 full year. Could you clarify that for me?
Bubba Sandford: Q4, current…
Hans van der: And what would that be for the whole year?
Colette Pieper: It was $15.4 million for the year.
Hans van der: It’s 15.4 million…
Colette Pieper: [16.5%]…
Hans van der: And then I have another one on SG&A. In the last quarter conference call and also in your statements you said that there is some cost cutting and you’ve taken some measures. And I remember from the last call that you said that it could take a while before it's measurable and [indiscernible] through the system, and influence your SG&A line. And I was wondering if you could help me quantify a little bit what these measures will mean for next year’s SG&A run rate compared to this year. So what do you expect that these measures will say for compared to this year?
Bubba Sandford: Well, as I mentioned, we’ll have a relentless focus on minimizing any SG&A and any costs. Our manta is always been operational, meaning if we need it we will have to spend it and if we don’t, we won’t spend it. So we’ll continue to focus on growing the top line, growing our margins while trying to maintain the same infrastructure thereby increasing the net.
Hans van der: But given that you had at least that’s there to you, but I remember from the past call that you said you’ve taken some specific measures, which you expect that you deliver something next year or at least not right away that’s say one or two quarters, so maybe in 2017? Well, is that hard to define or is it possible to say like well we expect maybe, I’m just guessing here, but the 200k, 300k decrease on the baseline that projection, or is it too difficult to define?
Bubba Sandford: Well, it’s somewhat difficult to define. We’ve shown some improvement on our net as a result of some of the costs we’ve made. Colette and her team, has done a great job coming on board and getting everything up to speed. So as the business is relatively dynamic and as we see opportunities to improve the business and grow the business sometimes that includes spending money. To make money we have to spend some money to improve things we sometimes have to spend money. So it’s a little bit difficult to pin down exactly and also requires us to have some flexibility in terms of being able to capture opportunity where it exists. But we will remain focused on only spending whatever is necessary for us to grow the business and maximize shareholder value.
Hans van der: Moving on to taxes, I noticed that you shook up tax rate high this quarter specific reason for that. What’s the tax rate you expect to incur going forward?
Colette Pieper: Well, the quarter posted the year end adjustment accrual for the year. And so that’s why it is so high. Our tax rate is back to the 34% federal and 3.53% state adjusted after tax benefit. But again that is the issue when you have fourth quarter year end accruals that you do book additional tax expense in the fourth quarter.
Hans van der: Last one maybe, already Bubba I heard you talking about plans for maybe opening some additional stores. Is there a defined plan that you expect or open to say an ex-number of stores in 2017 that you already are planning on? Or is it not so much planned as of today and where you more look at it what opportunities come your way, so that does not really define how much additional stores you’re opening this year?
Bubba Sandford: Well, it’s a combination of all those. We’re constantly evaluating the opportunities that are out there and whether we can capture those opportunities and whether we should deploy our capital in opening stores or acquisition. So our biggest impediment, as we’ve mentioned and I’m sure other companies have the same impediment, is finding the right branch staff. We give our branches a lot of autonomy, their confrontation is based on how well they do and with that autonomy comes a lot of responsibility. And this is a significant portion of our training that we take them through. And so its key piece to finding the correct personnel that can run that branch in that autonomy and succeed and deliver the results. So it’s a combination of what opportunities are there; can we backfill that with national account; is there possibly an acquisition with our cash position; what is the recruiting pipeline. It’s a moving target that our management is always evaluating.
Operator: And our next question comes from Michael Potter of Monarch Capital Group. Please go ahead.
Michael Potter: Couple of follow-up questions, I’m just trying to back into the same store sales growth, so for Q4. And so if we take out the acquisition, what was the -- and we take out the stores open for less than one year. What was the same store sales growth for Q4 and for the year?
Colette Pieper: We have not calculated that information but I can certainly follow-up with you. We don’t have that metric available right now at this call.
Michael Potter: I’m assuming the Board looks at that on a -- and it’s not weekly, something on a monthly basis. I’m assuming that’s one of the KPI that the Board is asking for?
Colette Pieper: That is something -- go ahead…
Michael Potter: Go ahead -- didn’t mean to cut you off…
Colette Pieper: No, I was just saying, we have all sorts of statistics. And so I will get you name and information and get this back to you.
Michael Potter: How much is left under the share buyback program?
Colette Pieper: About $2.1 million.
Michael Potter: And Bubba I’m assuming, we opened seven new stores in 2016 and we closed two. Is that correct? So there was a net of five?
Bubba Sandford: I’m not sure if I fully follow. We opened seven in ’16 and we’ve opened one since the end of the year.
Michael Potter: So we had a new store opening in 2017?
Bubba Sandford: Yes.
Michael Potter: So in 2016, we had -- there were seven new stores open. How many closed, I mean, branch offices closed?
Bubba Sandford: Yes, three.
Michael Potter: So we had net new store opening of four?
Bubba Sandford: As far the issue, some of the stores we’ve opened we’ve reopened. We had a there were not followed and we reopened it. So for a total of -- we include everything, we had eight stores that we opened and then three that we closed. But the move that the opening of stores and closing of stores is similar to what w talked about was one we’ve already planned. It's pretty dynamic, we take a number of things into account; one is whether there is national account; whether its potential future business there; whether there is recruiting pipeline; what's our cash balance; what's the extent of lease there. So it’s a lot of pieces that go into play and so it's never -- we never have -- we want to be as opportunistic and flexible as we can to capture any potential revenue.
Michael Potter: I understand, but I just -- it’s difficult, especially with a Company like this, to try and understand. I'm trying to understand the growth, where the growth is coming from. So if we’ve opened, it sounds like we’ve opened four or five net new stores for 2016. We opened up one additional location in 2017. Am I correct so far?
Bubba Sandford: Yes.
Michael Potter: And how many additional new stores you anticipate opening in 2017?
Bubba Sandford: Similar to what I said to Mr. van der Burg, that is something we evaluate on a regular basis; depending on our cash position; depending upon the opportunities that we get from the field and other information that in areas; depending upon the recruitment available. So it’s a number of factors and then maybe acquisitions out there that is a better use of our cash, example of this Hancock that was an excellent acquisition for us. It took us time to do. So we’re constantly evaluating what's the best use of shareholder capital in terms of we want to open stores, or do we want to look at acquisitions. So, we’ll remain committed to deploying the capital in a most cost efficient manner. That’s for us is what's key, we’re stewards of the capital we take it seriously. So we don’t want to commit to something, thereby eliminating a potential strategic acquisition for us.
Michael Potter: But the store opening, I'm assuming there was some sort of capital budget for 2017. We’re in April at this point so we’re fair to the way through the year. And I'm assuming there was some sort of plan that you would like to open potentially one or two additional stores in ex-region, because demand is strong there at this point. I mean I'm assuming you’re not opening these locations on a win?
Bubba Sandford: You're correct, but there is a lot of emphasis and evaluation goes on.
Michael Potter: And typically what's the lead time to open up a new location?
Bubba Sandford: We’ve discussed that in the past. That can vary; depending upon how successful the branch manager, the new branch manager is; depending upon the geographic location; depending upon whether there is already existing business there and we have brand recognition; whether we can backfill with national accounts; some can ramp up relatively quick and some can take a lot longer. So, it’s a challenging market out there.
Michael Potter: We understand that. Again, I just I want to understand decision making process here. Obviously, as other people would convey I am concerned; it's been several years now; stocks had a multiyear low at this point, and continuing to fall further; there is an seller relationship between members certainly yourself; some members of the Board and some of the larger shareholders. And we still have a communication and transparency issue. And I don’t understand why? It’s not that complicated of a business that’s for sure. And I don’t understand why I guess you and our Chairman have chosen to go down this load. Can you -- I would love to know what the strategic plan is for 2017?
Bubba Sandford: Well, we don’t issue strategic plan. But our goal has been and always been is to maximize the capital allocation, to maximize shareholder value. That is our goal is something live and breathe on a 24/7 basis, constantly evaluating existing stores. One of the things I put out constantly is the reserve rate to shut any store or shut any asset whose value does not exceed the cost associated with that. And that I think is a very improving course of action for management to take, the shareholders should feel comfortable that we are going to shut our assets where those resources could be better allocated and get a better return. And we have a management team here absolutely dedicated to that, and we’ll continue to do that. And we’ve shown with our plan that we can improve the Company and we’ll continue to improve the Company. And we’ll -- 2017 looks very promising. Q1 all the trends are going in the correct direction.
Michael Potter: I mean is the stock price going the correct direction? Are we maximizing shareholder value at this point, in 2016, so far in 2017, or the trend in 2016? Well, how are we going to break out of this trend?
Bubba Sandford: Well, we are going to continue on the plan. I think obviously we’ve mentioned before, first steps first. We had a -- we admitted and I took responsibility in Q1 and Q2, we didn’t deliver results we thought we wanted to and could, and we committed to fixing it and dedicated the resources and we have. And to get there, we have to start on the process. We’ve built a good foundation, the trends and we move up 19% in Q4, we ended up 5% over the year, which is pretty -- a good achievement given our start, and we are going to continue on that plan. And we’re seeing that plan deliver and we feel the market will reflect that as we continue delivering those results. Thank you.
Operator: [Operator Instructions] Your next question comes from Charlie Pine of Van Clemens & Company. Please go ahead.
Charlie Pine: I’ve just a few things. First one is a bit of a housekeeping issues and it has to do with presentation of your -- of the fourth quarter release. I think in the future, it would certainly be a lot more helpful for all of us that are shareholders and people that are money managers, if you would please have a separate fourth quarter income statement presentation. Can you do that for the fourth quarter of 2017?
Colette Pieper: Certainly, we’ll adjust this, yes. Thank you.
Charlie Pine: I’m kind of baffled as to why you didn’t do it. That just seems to me present sort of accounting 101. This year the one I am gathering by reading to the verbiage and I guess I’ll be able to look at it when I read through the K. But reading to the verbiage that some of the comparisons, even with a longer one extra week should have been better by looking at it, the optic should have been better on the numbers when presented it in a table. And for the average person that’s taking a look at that they’re going to want to look at these tables and if they can’t seen them they’re not going to necessarily do a deeper dive in, you’re not putting it best put forward by not making that presentation of your financials that way.
Colette Pieper: Okay, that’s duly noted. Thank you.
Charlie Pine: I wanted to clarify something that, did I hear it correctly that you have opened one store in the quarter that ended in March of 2017. Is that correct?
Bubba Sandford: Yes.
Charlie Pine: Do you have any planned store opening at this point for the second quarter? We’re already about halfway through Q2 at this point. So I think it’s a fair question to ask.
Bubba Sandford: We don’t disclose our store opening publicly. We haven’t done that in the past. One of the main reasons is competitive advantages. We don’t necessarily want to tip our half publicly to competition to where we’re going but it's something we’ll…
Charlie Pine: I’m not asking where you’re planning to open one. I’m just asking you, do you have any -- is it in your budgeting for Q2 and do you -- are you in process, do you anticipate that you will have any stores, your store location that will be open in the second quarter?
Bubba Sandford: Well, we’re in the process of evaluating store openings for 2017. And we’ll evaluate that on a daily basis, as well as I mentioned the capital allocation in terms of whether new stores, different verticals or strategic acquisitions, what makes best sense in terms on our capital allocation.
Charlie Pine: I’ll take that to be pretty much a non-answer then. The other thing I’d like to ask about, you made a big point of stressing that. You’ve emphasized that one of the things that has been helping to apparently improve efficiencies is revamp training program. And you mentioned the number of people that have gone through this training program, and I believe I heard 59. When we’ll -- what’s -- how far are you along in this process?
Bubba Sandford: This process is never ending. This is very similar to any college or professional team. We are adjusting the training regularly as we get everyone through. We’ll look at going different training -- we’re in the process right now. I’ve just got from our trainer, the next training agenda is completely different .The focus is on one of our other verticals on our other lines of business. We will continue this training throughout the year and every year. There is a lot to learning to run a store and we’ll probably never be done sharing all the information and coaching and training development and holding them accountable.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Sandford for closing remarks.
Bubba Sandford: Well, I’d like to thank everyone for participating and listening today's call. We look forward to speaking with you next quarter. Thank you again for joining us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.